Operator: Welcome to the Pitney Bowes 2008 third quarter earnings conference call. (Operator Instructions) I would now like to introduce you speakers for today's conference call; Mr. Murray Martin, President and Chief Executive Officer, Mr. Michael Monahan, Executive Vice President and Chief Financial Officer and Mr. Charles McBride, Vice President Investor Relations. Mr. McBride will now begin the call with the safe harbor overview.
Charles McBride: Let me remind all of you that you can find today's earnings press release and the attached schedules on our website at www.pb.com/investorrelations. The forward-looking statements contained in this presentation involve risks and uncertainties and are subject to change based on some very important factors including changes in international and national economic conditions, timely development and acceptance of new products, timing of potential acquisitions, mergers or restructurings, gaining product approval, successful entry to new markets, changes in interest rates, changes in currency and changes in postal regulations and fully outlined in the company's Form 10-K annual report filed with the Securities and Exchange Commission. Additionally, if there are any non-GAAP measures discussed during the call such as adjusted earnings per share, earning before interest and taxes or EBIT free cash flow and organic revenue, there will a reconciliation of those measures to GAAP measures located on our website. Now, our President and Chief Executive Officer, Murray Martin will start with an overview of the quarter.
Murray Martin: Thank you for joining us for today's quarter results announcement. I'll share a few thoughts on our results and Mike will follow with a financial overview of the quarter. I will conclude with our focus for the remainder of the year and an update on our annual guidance. Then we'll open the line for questions. We were able to grow our adjusted earnings per share by 6% versus the prior year, improve our EBIT margin versus the second quarter and generate very strong free cash flow despite the very difficult and unexpected challenges of the credit crisis, the worsening of an already weak economy as well as the dramatic changes in currencies. While we are not immune to the challenging environment, there are several factors which are providing us with more flexibility and more resilience in these uncertain times. First, we are seeing the benefits from the actions that we started taking last year at this time. Our transition initiatives were designed to upgrade our technology, to streamline our cost structure and to fund investment in strengthening the customer experience and our business processes. As a result, we have been able to reduce our cost structure as a percentage of revenue which has proved beneficial in improving our year over year EBIT margins in U.S. mailing, international mailing, U.S. management services, production mail and marketing services. We believe that our technology upgrades and the wide range of solutions that we offer to help reduce costs and grow revenue make our value proposition more compelling to customers during times like this. Second, our business model features a diverse customer base, more than 75% recurring revenues and the generation of strong free cash flows. Free cash flow for the quarter was $252 million with year to date free cash flow of $653 million. We expect this trend to continue and are increasing our annual free cash flow guidance to exceed $800 million this year. This marks the third and the largest increase in our free cash flow guidance for the year. Third, the combination of our high recurring revenue stream, our strong free cash flow and excellent credit ratings have allowed us unencumbered access to the credit markets at favorable interest rates even during the peak of market uncertainty. However, we will continue to be prudent on how we spend and invest our cash to maximize shareholder return. It is also important to note that historically our third quarter financial results are similar to our second quarter results. If you were to strip out the effects of $0.03 related to the unfavorable change in currency and the $0.01 related to higher tax rate, our third quarter adjusted earnings per share would have been $0.72 or $0.02 higher than the second quarter. The quarter's results were characterized by continued momentum in mail services and improving trends in international mailing. Growth in mail services revenue continues to be driven by both pre sort and international mail services. The operating leverage and efficiency gains that we experienced at mail services were offset by investments we made during the quarter to continue to expand the network in the U.S. and in the U.K. Because of the initiatives we started last year, U.S. mailing increased margins to 40.6% versus 39.3% the year before. International mailing continued to improve in line with our expectations and is benefiting from the restructuring and outsourcing we started last year. Marketing services continue to experience good growth in the movers update service that we provide for the U.S. postal service and achieved improved margins as we exit the driver's source program. Challenging economic conditions were partially responsible for the pressure we experienced on EBIT margins in software due to delayed customer decision making and in management services due to lower volumes that were processed. Overall, we are pleased by our ability to grow revenue year over year while sequentially improving EBIT margins in the midst of this challenging environment. Before I discuss our outlook for the remainder of 2008, Mike will provide an overview of the company's financial results.
Michael Monahan: Revenue was $1.5 billion for the quarter which was a 3% increase from the prior year. On an organic basis, revenue declined about 1% year over year. Foreign currency contributed less than 1% and acquisitions about 3% to revenue growth. For the quarter, revenue in the U.S. declined by 1% while revenue outside the U.S. grew by 12%. International operations represented about 30% of total revenue in the quarter. Adjusted earnings before interest and taxes, or EBIT for the quarter which excludes charges related to restructuring and asset impairments was $280 million. EBIT margin was 18.1% which was slightly lower than the prior year on a comparable basis, but ahead of the 17.6% in the second quarter. The decline in our EBIT margin year over year was primarily due to a slightly unfavorable impact from currency in the mix of business. Our SG&A expense ratio improved this quarter by 50 basis points when compared to the prior year and 70 basis points excluding the impact of acquisitions and currency. The improvement in our SG&A expense ratio is a direct result of the benefits of our restructuring initiatives. When we add back depreciation and amortization, adjusted EBITDA for the quarter was $375 million. Net interest expense decreased by about $6 million compared with the prior year. Our average loan balances this year are down about $39 million from last year at this time. We benefited from a lower average interest rate which declined from 5.2% last year to 4.6% this year. The effective tax rate for the quarter on adjusted earnings was 35.3% which was higher than last year and last quarter. This was a result of a timing and geographic mix of our business. This resulted in a $0.01 per share unfavorable comparison in the quarter against both third quarter 2007 and the second quarter of this year. We had previously noted that our tax rate could vary during the course of the year. However, we still expect our annualized effective tax rate on adjusted earnings will be approximately 34.3% to 34.5%. Adjusted earnings per share for the quarter was $0.67 which is a 6% increase over our adjusted earnings per share of $0.63 for the same period last year. As Murray noted, excluding the impact of currency and the higher tax rate, our adjusted earnings per share this quarter would have been $0.71. Shares outstanding this quarter were about 6% below what they were in last year's third quarter. GAAP earning per share for the quarter included $0.19 of charges for our transition initiatives and asset impairments, and also included a charge of $0.01 per share from discontinued operations which related to interest on possible future tax payments related to our former capital services business. Free cash flow was about $252 million for the quarter as compared with $239 million in the third quarter of last year. The strong free cash flow year to date and our continuing focus on the balance sheet and cash management for the remainder of the year gives us the confidence to again increase our free cash flow guidance by the largest amount for the year to exceed $800 million. During the quarter we returned $134 million to shareholders through dividends and share repurchases. We used $73 million of cash during the quarter to pay dividends to shareholders and repurchase $61 million of common stock. We acquired 1.7 million shares during the quarter. Year to date we've returned $553 million to our shareholders in the form of dividends and share repurchases compared with $653 million in free cash flow we generated year to date. We'll balance future share repurchase considerations with other demands for cash during the remainder of the year while giving prominent attention to credit markets and the overall economic environment in which we're operating. We have $73 million of share repurchase authorization remaining as of the end of the third quarter. Our debt declined by $24 million during the quarter to about $4.9 billion. About 68% of our debt is fixed rate and 32% is floating rate. I'd like to take a moment to address recent questions some investors have had about liquidity and the capital markets and our access to capital. As an A1 P1 commercial paper issuer, we have learned first hand the importance of a strong credit rating and aggressive cash management. At the end of the third quarter, we had approximately $829 million in commercial paper outstanding which is slightly above our average over the past year. However, this includes $350 million of debt that matured in August of this year that we rolled into commercial paper. As Murray noted, we have not had and do not foresee any difficulty in accessing the commercial paper market. We regularly place paper anywhere from over night to 90 days and have been able to secure attractive rates in the range of less than 1% to a little more than 2% depending upon the maturity. As of last Friday, 20% of our outstanding commercial paper matures beyond the year end. We have the option of issuing bonds to reduce our commercial paper position and we will continually assess market conditions to determine if and when we access the market. Additionally, we have a $1.5 billion credit line with a syndicate of 15 banks that is guaranteed through 2011. We've not had to draw upon this facility and do not anticipate the need to. Turning now to the transition initiatives announced last November, during the quarter we recorded about $40 million of charges related to anticipated severance associated with the elimination of positions and asset impairments associated with older technology equipment in France. In addition, we took asset impairment charges related to intangibles of about $9 million on a pre tax basis for the loss of a customer in our marketing services business and the ongoing shift in market conditions for litigation support. On an after tax basis, the total charges amounted to about $39 million in the quarter which is equal to $0.19 per share. As we discussed earlier, the majority of the cost savings generated by our transition initiatives this year are being reinvested to enhance customer value and gain operational efficiencies. These savings have also helped mitigate the impact of the current economic downturn on business activity in key vertical markets like financial services. That concludes my remarks. Now Murray will provide some insight about our plans going forward.
Murray Martin: A lot has changed since the second quarter. Globally the economy has slowed. The credit markets have tightened and most significantly for us, the dollar has strengthened rapidly and considerably against most currencies. In light of these factors, we are revising our 2008 guidance. When we first provided our 2008 guidance of $2.80 to $2.90 at the beginning of the year, the dollar was substantially weaker versus the major currencies that impact our business, The Euro, the Pound and the Canadian dollar. These currency changes, particularly since September resulted in about $0.07 less in earnings per share than our original expectations. Considering the current economic conditions and currency volatility, we have revised our adjusted earnings per share expectations to a range of $2.75 to $2.82 and revised revenue growth expectations to a range of 2% to 4%. Now, we'll open the line for questions.
Operator: (Operator Instructions) Your first question comes from Caroline Sabbagha – Barclays Capital.
Caroline Sabbagha – Barclays Capital: In light of the current credit environment how are your conversations with the rating agencies going and what sort of things are they focusing on and what are you talking about with them?
Murray Martin: Obviously we have an ongoing dialogue with the rating agencies as we've had in the past and during the height of the credit crisis, obviously they were very interested in our access to the commercial paper market and I'm very happy to say we've had really uninterrupted access to that commercial paper market, and that's clearly something they were monitoring. The other is obviously total debt and that as we noted has come down slightly in the quarter due to our very strong free cash flow. Beyond that, no unique issues.
Caroline Sabbagha – Barclays Capital: On the higher free cash flow guidance, in magnitude, what are the drivers of that higher free cash flow guidance? What are the biggest drivers? Is it equipment sales or something else there?
Murray Martin: There's clearly a couple of things. Working capital has been a positive for us. We've made lower actual capital expenditures across the business and as we talked about in the past, when there is the lower equipment sales we do free up cash from finance receivables.
Operator: Your next question comes from Jay Vleeschhouwer – Merrill Lynch.
Jay Vleeschhouwer – Merrill Lynch: It appears that your restructuring charges are going to be at the high end of the previous guided range for the year. Would you expect to be able to exceed your previously forecast cost savings from the restructuring and the release talked about your looking into some additional steps you could take. Do you have anything you can elaborate on with respect to that? For Murray, can you comment on what you're beginning to see in terms of the equipment upgrade and lease renewal process that you talked about at the analyst meeting? It sounded as though we should be just in the early stages of that.
Michael Monahan: Year to date we're at about $375 million, $376 million of total charges against transition initiatives of which a little over $200 million is against the asset side of it. In terms of original guidance, we said $300 million to $400 million. As we look at the current environment out there, we felt it important that as we enter the final phase of the transition initiatives that we continue to look for an additional number of opportunities to take cost out, to turn more of our infrastructure from fixed cost to variable cost, and that's been a real focus of our transition initiatives to date. We're evaluating some opportunities that could add to our transition initiative total, but also would look to add the cost savings which we've estimated at this point is between $150 million and $170 million full annualized run rate in 2009. We're progressing towards that.
Murray Martin: As to the equipment particularly in U.S. mailing, what we have seen as we had predicted is in the third quarter the available pool of leases for upgrade has turned from where it bottomed in the second quarter and begun later in the third quarter and we do see that continuing into the fourth quarter as we look forward. We are seeing that progression of lease upgrade opportunities increasing as we go forward and its right in line with what are expectations were at the analyst meeting that we did hold. The one thing that has modified slightly is we are seeing a little more in lease extension than we had in the past which is fine from an EBIT point of view but restricts revenue growth by a little bit. But we don't expect to see a major change there.
Jay Vleeschhouwer – Merrill Lynch: A follow up on the managed services business – can you talk about activity there in terms of net contract signings, how well you think you'll be able to improve your margins there? You didn't sell it back in June, obviously now you have improved the margins there. What kind of improvement does your guidance anticipate?
Murray Martin: As we said, we were going to be very focused on enhancing value within that business, and as you saw in the quarter, in U.S. mailing which is where we took the first actions, we have raised our margins into the 10% range and we're looking to stay in that range and slightly above that going forward. At the same time, we did make an acquisition in France and it will take a few quarters for that cost to flow through and then we'll start seeing the swing in Europe from the margin side as well coming into the blended margin. As far as new contracts, we have signed a number of significant new contracts and our losses continue to be fairly low in that business. So we're feeling pretty good about the net ads in the business. On the flip side is in the economy and in the sectors we're serving we do see some lower transaction volume and a lot of those contracts are a price plus transaction volume. So as that transaction moves in a negative economy we will see some negative input there. That's why we're pressing forward to become as much variable cost as possible so that there would be less long term effect from that. Overall, we see it progressing right in line with our expectation. At the last meeting I said I wanted to see it into double digits. U.S. has moved into double digits and we expect them to stay there and then Europe to begin progressing in the same direction.
Jay Vleeschhouwer – Merrill Lynch: Can you remind us of the proportion of revenues from financial services and did it get progressively worse in terms of new business there the last few months, and what do you see in terms of your other big end market exposure, S&B and professional services?
Murray Martin: Are you talking in management services?
Jay Vleeschhouwer – Merrill Lynch: Overall.
Murray Martin: Overall, our finance and insurance sector is about 23% of our revenues and we have seen impact in that segment of the market. The positive thing is in our mailing business, it's a much lower percentage. There, the majority of that business is in the professional market, doctors, dentists, lawyers, etc., and so we have a much lower effect than the other. It's really in production mail, software and management services that you have the larger portion in that market places that we've had some effect. We've also seen a bit of effect in software and the retail market place as they do store locations, etc.
Michael Monahan: What I would add to that is, I think Murray touched on the key areas impacted. I would just add those businesses tend to have larger ticket deals, a large software license deal, a large hardware equipment deal. So obviously as a number of financial services institutions are looking at their capital, they're holding back on some of those things until we see how the credit markets settle out a little bit. We definitely feel those are more deferrals than the business opportunity going away.
Operator: Your next question comes from Shannon Cross – Cross Research.
Shannon Cross – Cross Research: In terms of any geographic trends any linearity in the quarter you can provide? I'm curious how the quarter progressed.
Murray Martin: I think from a geographic portion, Asia remained fairly strong. Canada was fairly strong as well. They seem to be seeing things a little later. U.K. we did see more of the economic affect than in the other portions of Europe. As you're aware, we do have a bit of a seasonality effect in our business where the last month of the quarter tends to have the largest percentage of revenue particularly from sales revenue stand point. Obviously September was the month that we saw the biggest impact from a credit market stand point, so that's where we tended to feel it more in the quarter, particularly around the large ticket deals.
Shannon Cross – Cross Research: In terms of hedging programs, can you refresh our memory as to what you can do from a currency hedging stand point?
Murray Martin: What we do is we hedge a portion of our transactions on an inner company basis as well as a purchases stand point, but we never hedge more than 50% of those transactions, and they're really on a forecasted basis. So we have contracts in place against our expectations, but obviously currencies move much more dramatically in a very short period of time than we would have anticipated when we were putting hedge transactions in place.
Shannon Cross – Cross Research: On free cash flow going forward, where do you think you are in terms of cleaning up or tightening up the balance sheet? How are you thinking about 2009 for the other puts and takes you could place in the cash flow?
Murray Martin: In terms of really managing the balance sheet, I think there's always additional opportunity particularly around receivables and inventory. I think we are making progress there, but in this environment we want to be somewhat ruthless in collecting our receivables. The other key area is around capital expenditures and we want to make sure that the investments that we do make are high return, so we really scrutinize the capital investments we'll make. That as well as the contribution from earnings will really help drive our cash flow going forward.
Operator: Your next question comes from Ananda Baruah – Bank of America.
Ananda Baruah – Bank of America: Any update on what we can expect around the cost savings going to the bottom line for '09?
Michael Monahan: I think the outlook remains the same in terms of we had set an objective of $150 million to $170 million and we believe we're on track to do that. Obviously what will come through to the bottom line is really going to be based on the timing of those benefits as well as the investment that we're going to do against that. We're going to balance that based on the outlook for the business going forward.
Ananda Baruah – Bank of America: Should we think of it in terms of the comments you had previously made up to your analyst day, half of that going through to the bottom line or is there something changing around that?
Michael Monahan: I would not say that we've changed our outlook in terms of how that's going to play itself out.
Ananda Baruah – Bank of America: At the analyst day there is commentary of justification of accelerating year over year organic growth in '09. Is that still the case, albeit just inside a new profile or the current gross profile or is that under review at this point?
Michael Monahan: We're just relooking at '09 particularly from an organic point of view with regard to the global economic situation. I think as we're all aware, '09 is projected to be a challenging global year and we will be relooking at that before we come out with our guidance at the end of the fourth quarter.
Ananda Baruah – Bank of America: There's a comment in the press release that said you think you're well positioned to keep growing earnings during '09 despite market challenges. Is there any way to characterize what leads you to that conclusion? Is there anything specific or is it just more of a general comment? Is there any read through along the lines of we have some leverage we can pull on the cost cut side with some of the stuff we've already done, some of the new stuff that we feel that might give us some extra confidence to be able to do so?
Murray Martin: I think as you think about that, what we've really looked at is we've got a large recurring revenue base. So when you look at a large recurring revenue base and then the affects that we've put in place as far as cost management and cost reduction, it puts us in a reasonable position from bottom line in '09 even if it is a difficult environment. We did start taking the actions a year ago. As Mike mentioned we're continuing to look at what else we could do to complete our program this year and then we will however, continue to take actions inside the P&L on a go forward basis to continue to enhance our cost structure and the returns.
Ananda Baruah – Bank of America: On the lease renewal, the new cycle that you are beginning to see, are you seeing folks to any extent be more conservative about what they're willing to put into that lease relative to where they were before given macro head winds?
Murray Martin: In general, there isn't a major shift there. We have introduced a new product line which is more productive and more capable and what that has done is it has allowed people in some cases to have a slightly smaller piece of equipment that would perform at the same level at the same capabilities as in the past. On those we do have strong margins, so from a margin point of view we have been well positioned. As I mentioned earlier, we do see a little more extension of the existing product so that might have a slight dampening effect on revenue growth, but it would not have a negative effect on the EBIT growth.
Operator: Your next question comes from Julio Quinteras – Goldman Sachs.
Julio Quinteras – Goldman Sachs: On the foreign exchange, if you assume a stable foreign exchange rate going forward, going to next year assuming a stable foreign exchange rate environment, what kind of negative impact top line are we expecting to see in 2009 on a year over year basis?
Michael Monahan: We haven't really given 2009 guidance at this point so I'm sure that I could give you that answer at this point.
Julio Quinteras – Goldman Sachs: If we put currency impact aside, going back to your comment about reassessing organic revenue growth expectations into next year, can you provide a little bit more color in terms of what the plus and minuses in terms of changes versus your original expectations that would cause that reassessment whether it's in terms of sales, lower financial services volumes?
Murray Martin: As we look at next year, and we will give the guidance for next year in our fourth quarter. We will take into account the global economic conditions that we expect to see and we think we'll have a better insight into that in a couple of months as we finalize what we do expect next year. Similarly although at this point for the balance of this year we have to look at the current currency rate. We'll have a much better idea of what the currencies in '09 as we get a little further through the quarter. With these very rapid fluctuations that have occurred, we are hesitant in using that as a role forward at this moment. I think we'll be able to give good guidance as to what we expect both from an organic growth point of view in the market conditions and the currency that we're expecting on a comparative basis as we give our '09 guidance.
Julio Quinteras – Goldman Sachs: On free cash flow and capital deployment in terms of go forward basis, obviously there's very strong cash flow performance. Can you comment about the usage in terms of capital deployment, whether it's dividend, share repurchases? Just a little color on that area.
Murray Martin: In terms of capital investments in the business, we've tended to invest in the neighborhood of $250 million a year in capital investment and that's generally split between investments of rental assets which is the postage meters in our key markets as well as other capital for maintenance of the business and investment in other technologies. In terms of dividend and share repurchase, we've outlined what we've done in the past year. In terms of dividend we have had a track record of paying a dividend and actually increasing our dividend each year over the last 26 years, and we believe our free cash flow supports continued payment of our dividend and our dividend practice. In terms of share repurchase, that is really a variable item for us in terms of initially looking at it as an offset to any capital issuances that were stock issuances that we do under options and other programs. And then we really look at available cash and really put that in context with the overall debt the company or securing our debt ratings and looking at the market as a whole. As we look at 2009 guidance, we'll address those items as well.
Operator: Your next question comes from Josh Golden – J. P. Morgan.
Josh Golden – J. P. Morgan: Can you give me some color around receivables and your ability to collect and what that looks like going forward? You mentioned you have the $1.5 billion revolver and you do have some debt right now. Can you give me your thoughts on the term debt market and would you look to pay that out any time in the future?
Murray Martin: We've had a good performance across the company around collection of receivables particularly in the financial services portfolio where we have our largest receivables in the form of lease payments, and we've continued to see good performance. Delinquencies are in line or below prior month and prior year and we're comfortable with our reserve levels with respect to receivables. In terms of the revolver and whether we would turn it out or not, we obviously have sufficient capacity within our commercial paper program to do additional if we needed to. We believe with our free cash flow we'll actually have a lower commercial paper level at the end of the year than we had at the end of the third quarter. With that being said, we're going to constantly monitor the market to see if it's appropriate to turn some of it out especially given the fact that we just had $350 million mature in August. Obviously rates right now are relatively high to recent history and we'll continue to monitor that and look at the opportunities over the coming months to see whether it's a prudent thing to do.
Josh Golden – J. P. Morgan: Are you eligible for the commercial paper program A1 P1 level and would you participate in that in order to keep the funding costs relatively low?
Murray Martin: We are eligible for the program because of the A1 P1 rating. We have not had a need and we have not accessed that because we believe we're getting very favorable rates in the market today and we've had good access and good maturities for our commercial paper. We don't see a need at this point to utilize that program.
Operator: There are no further questions.
Murray Martin: In summary, despite the challenging economic environment, we were able to grow our adjusted earnings per share to improve our EBIT margins versus the second quarter and to generate strong free cash flow. The actions which we initiated last year have enhanced our ability to continue delivering value and growth in these current conditions. Our business model, our strong free cash flow and excellent credit ratings give us an unencumbered access to capital should we need it and the ability to be more resistant to the impact of the market uncertainty than most other companies. Thank you for joining us and have a good evening.